Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2012 Advanced Energy Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to your host for today, Ms. Annie Leschin of Investor Relations. Please proceed.
Annie Leschin: Thank you, operator, and good morning, everyone. Thank you for joining us today for our Fourth Quarter 2012 Earnings Conference Call. With me on today's call are Garry Rogerson, Chief Executive Officer; Danny Herron, Executive Vice President and CFO; Yuval Wasserman, President of the Thin Films Business Unit; and Gordon Tredger, President of the Solar Energy Business Unit. By now, you should've received your copy of the earnings release that was issued yesterday evening. For a copy of the release, please visit our website at advanced-energy.com or call us directly at (970) 407-4670. This quarter, Advanced Energy will be hosting one-on-one at the Goldman Sachs Technology and Internet Conference on February 13, in San Francisco and at the UBS Small-Mid Cap One-on-One Symposium on February 26 in Boston. The company will also be presenting at the Susquehanna Semiconductor Summit in New York on March 5. Finally, I'd like to remind everyone that except for the historical financial information contained herein, the matters discussed on this call contain certain forward-looking statements subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Statements that include the terms believes, expects, plans, objectives, estimates, anticipates, intends, targets, goals or the like, should be viewed as forward-looking and uncertain. Such risks and uncertainties include, but are not limited to, the volatility and cyclicality of the industries we serve, the timing of orders received from our customers and unanticipated changes in our estimates, reserves or allowances, as well as other factors listed in our press release. These and other risks are described on Forms 10-Q, 10-K and other form reports filed with the SEC. In addition, we assume no obligation to update the information that we did provide you during this call, including our guidance provided today and in our press release. Guidance will not be updated after today's call until our next scheduled quarterly financial release. And now, I'd like to turn the call over to Garry Rogerson, CEO of Advanced Energy. Garry?
Garry W. Rogerson: Good morning, and thank you for joining us. As expected, it was a tough quarter but our results met our expectations with total revenues of $113 million, $0.16 of non-GAAP EPS and $19 million in cash generated during the quarter. Our Thin Films business continue to suffer from a lull in capital investment across applications. Though as Yuval will discuss, we are beginning to see initial signs pointing us to a recovery later in the year and into 2014. Our Solar Energy business is flat in the quarter, reflecting a more normalized fourth quarter pattern in the U.S. market without tax incentives. So the margins were impacted by one contract that included some low margin, balance of system components that should continue into the first quarter. I'd like to take a few minutes now to recap our 2012 accomplishments. It was a year of significant change at the company from how we look at costs, to how we grow our existing business and manage our cash. AE has undergone a major transformation and set the stage for our next phase of accelerating profitable growth. To highlight just a few areas: we consolidated several facilities around the world; we streamlined our workforce to enable a more sustainable level through cyclical peaks and troughs; we transitioned the manufacturing of our solar sub-assemblies to our world-class facility in Shenzhen; and we revamped our equity compensation programs to align management's goals with key financial metrics and to reduce dilution from 4% to 1.5% long-term. In total, we took out more than $30 million from our existing cost structure and have a line of sight to as much as $55 million by the end of 2014 as we discussed as our investors saw at Analysts Day. This has led to a breakeven of about $90 million per quarter depending on mix, which we believe is sustainable throughout peaks and troughs. We have seen the benefits of instilling a more cost-conscious culture including improved efficiencies at all levels and the further cost reductions primarily in cost of goods and manufacturing costs yet to come. From a cash standpoint, we have shown an ability to generate and re-allocate cash in a thoughtful way. We generated $111 million of cash and executed on a number of strategies to better utilize that cash. We completed a $75 million share repurchase program in less than a year, put another $25 million repurchase program in place and acquired Solvix for our Thin Films business unit. Overall, we are encouraged by our progress towards a highly efficient and focused business model with R&D centers across the world, our centralized manufacturing facility in Shenzhen, driving even more outsourcing and an ever increasing sales network for distribution. We are already beginning to see results with a lower breakeven point, improved cash generation, and lower inventory. It was a good year, a year of foundation building for AE. We now move onto the next leg of the plan, accelerating revenue growth so that we are not dependent on large, cyclical markets such as semiconductors. In our Thin Films business, we started last year by diversifying our R&D, creating separate teams for our thin film, industrial markets and entering new applications, such as abatement and lens coatings. This strategy has allowed us to win business at from very large electronics companies, while not jeopardizing our roots in semiconductors, where we continue to have large and repeat wins. Further, this focus was instrumental in the acquisition of Solvix, which should allow us to penetrate new applications and fulfill our strategic objective to be closer to our customers, in this case, Europe. The pace and discipline behind new product releases in the company is increasing. The release of the AE 500 in Solar and the most recent release of the Paramount 2 power supply at SEMICON Korea, are good examples of this. With continued strong cash generation, we plan to deploy cash for acquisitions this year to accelerate growth and position ourselves for a strong 2014. As revenues grow, our business model should allow us to accelerate production and generate cash at an ever-increasing rate. With the ongoing strength for the solar market in North America, positive indicators on the horizon for the semiconductor and flat-panel thin films markets and potential acquisitions, we're positioning the company to reach a $2 per share aspirational EPS goal. Now, let me turn the call over to Yuval. Thank you.
Yuval Wasserman: Thanks, Garry. Beginning with Slide 9, revenues for our Thin Films business unit declined 6% sequentially in the fourth quarter to $53.3 million as we saw mixed market demand. Our semiconductor business remained flat, while increases in flat-panel and renewables were offset by decreases in our service and industrial sales. This resulted in operating income of $4.7 million, or 9% operating margin for the quarter. While the outlook for semiconductor capital spending continues to evolve, recent CapEx guidance for 2013 appears to be rising above earlier forecast, have seen an increase in fourth quarter bookings and driven in part by foundry expansions. Although the combination of low fab utilization rate, equipment real strategies and uncertainties surrounding the future of DRAM, NAND and Apple-sourcing strategy continued to cloud the near-term outlook, we see more positive sentiment towards the second half of 2013 and into 2014. In the flat-panel display market, the much anticipated investment in next-generation technology arrived near the end of last quarter. Yields in AMOLED technology are improving, and we are seeing build-outs of GEN 5.5 technology drive our PVD and Etch business in particular. We also see an increase in customer inquiries regarding additional investments planned for the second half of 2013 for next-generation FPD devices, where our products are used for PVD, Etch and encapsulation applications. We experienced variability in our industrial business this quarter resulting from increased investment in specific markets over the last 2 quarters. Growing our industrial business organically and inorganically remains an important focus, as we target end-user markets in addition to OEMs. The most recent example of organic growth is our entry into the point-of-use, gas abatement market, which is significantly expanding near-term revenues inside and outside of the semiconductor market. As announced at our Analyst Day event in November, the recent inorganic addition to our industrial business came with the acquisition of Solvix, the European power conversion solution provider for precision hard coating applications. I'm pleased to report that the integration of this product line is progressing very well. Having already absorbed Solvix's cost structure, we plan to maintain an engineering design center in Switzerland and outsource volume manufacturing to our Shenzhen facility. We expect Solvix to contribute to revenues in 2013 by extending our product offering to the optical and hard coating markets around the world. To ensure that we most effectively serve our worldwide customer base and extend our reach in industrial markets, we continue to implement a global distribution, sales and service strategy this quarter in Taiwan. Similar to our channel implementation in Japan, we have formed alliances with 2 leading companies in Taiwan: Scientech and Collaborated Service Solution, CSS, to provide locally-managed sales, marketing, service and support expertise for our current customers and new prospects. At the same time, these relationships represent an important part of our plan to institute both a flexible and a cost-effective business model and to accelerate expansion into new industrial markets. This quarter, we once again extended our strong track record of design wins, capturing nearly 2/3 of those targeted in our Thin Film industrial business and over 80% in our semiconductor business. Our products were selected in areas ranging from PVD and Etch, to various industrial applications. This consistently high win rate reinforces AE's goal of cultivating partnerships with its customers and invest AE products in current and next-generation technology applications, securing both short-term and long-term incremental revenue growth. Although our Thin Film markets remain near trough levels, we are encouraged by the outlook for growth in the semiconductor flat-panel display markets in the second half of 2013 and into 2014. We're also excited by the opportunities before us as we capitalize on our recent design wins, the launch of our recently-announced Paramount 2 MHz power supply and expand into new accounts and applications that we have never served before. Finally, the strategic investment that we are making in our product portfolio, both organic and inorganic, are broadening our market presence in currently-existing and new markets such as hard coating, as demonstrated this quarter. I would now like to turn the call over to Gordon to discuss our Solar Energy business.
Gordon B. Tredger: Thanks, Yuval. Let me begin with Slide 12. After a record third quarter, revenues in our Solar Energy business declined 2% sequentially to $59.7 million or 53% of the company's total sales in the fourth quarter. We shipped 228 megawatts versus 251 megawatts last quarter. Fourth quarter operating income declined to 6% or $3.4 million. Although we anticipated margins would come down from our record third quarter performance, they were further impacted by utility contracts that included some low margin balance of system components to satisfy a customer's request. We anticipate that this contract may have a similar effect on our margins in Q1 as well. During the quarter, we began executing the second phase of our plan to drive the improvements in manufacturing and to lower our production costs. We are gaining efficiencies using our software tools to promote competitive supplier bidding on our raw material procurement, transferring assembly of some recently-introduced products to Shenzhen and outsourcing assemblies from Shenzhen to low-cost suppliers in the region. As a result, we expect to see further reductions in costs in the second half of the year. In addition, our new service dispatch system is improving our responsiveness to customers and the efficiency of our industry-leading service organization. We are extremely pleased that we have been able to control our operating costs and we continue to look at a variety of ways, both organic and inorganic, to facilitate entry into emerging solar markets with products specifically designed for our region's needs. One of our efforts currently underway is with SGEG, our Chinese partner. Today, we have jointly developed a low-cost inverter for the Chinese market, which is now undergoing performance testing in our Bend, Oregon R&D facility. Once this product is shipping in China, we plan to modify it for other emerging markets, initially, India, during the second half of 2013. Now moving to Slide 13. With our lower-cost model in place, we continue to see strong demand across North America. The pipeline of large projects in the U.S. market remains active. With Ontario's seasoned tariff in effect, we are seeing large awards, active installations and positive trends in our Canadian pipeline as well. We expect ongoing utility shipments in the U.S. and Canada, but we anticipate some of the usual first quarter slowdown in commercial shipments due to seasonal factors. To aid our efforts to expand outside of North America, we recently announced the distribution partnership with Scientech in Taiwan. Scientech will provide our customers access to industry-leading, locally-managed, sales and marketing support, while AE continues to provide its world-class service to these customers. We are continuously evaluating how best to enter different geographies and strategically select those markets that are best suited to our products. In closing, customer demand for the first quarter is higher than we have seen in prior years reflecting what we believe should be a smaller seasonal decline, now that the U.S. grants and incentives are behind us. Demand remains strong in the markets we serve and we are very optimistic about our prospects, both in North America and emerging territories worldwide. While our operating margins fell sequentially this quarter and are expected to remain in this range again next quarter as we complete shipments on this contract to one customer. Our operating costs are under tight control. We remain confident in our targeted financial goals as we look for opportunities to grow both organically and inorganically. I would now like to turn the call over to Danny to discuss our financial performance. Danny?
Danny C. Herron: Thank you, Gordon. In today's call, I'll refer to both GAAP and non-GAAP results. Non-GAAP measures exclude the impact of the restructuring charges recorded in the fourth quarter. A reconciliation of non-GAAP income from operations and per-share earnings is provided in the press release table. Let me begin with full year 2012 results. Total sales for the year decreased 12.6% to $451.9 million, compared to $516.8 million in 2011. With many of the thin film markets we serve at or near cyclical lows, sales to our Thin Film business fell 28.4% year-over-year to $235.3 million. Demonstrating the advantage of our diversified model, sales to our Solar Energy business increased 15.1% to $216.6 million this year, driven primarily by large utility projects as well as commercial deployments in the U.S. market. Total GAAP income from continuing operations was $20.2 million or $0.51 per diluted share, compared to income from continuing operations of $36.9 million or $0.84 per diluted share in 2011. To date, we have taken more than $30 million out of our cost structure, reduced accounts receivable by $49 million year-over-year, improved our Solar Energy business margins and lowered our total breakeven. Even at trough levels in our Thin Film business, we remain profitable throughout 2012 and generated over $111 million in cash from operations for the year. Our cash balance grew by $29 million in 2012 even after completing our $75 million share repurchase and the Solvix acquisition. Turning to the highlights of the fourth quarter on Slide 15, total revenues were $113 million, a decrease of 4% sequentially, and flat with the same period last year. We ended the quarter with a strong balance sheet including $172.2 million in cash and investments, down slightly from last quarter due to our acquisition of Solvix. Turning to the revenue performance on Slide 16, revenues for the Thin Film business unit decreased 6% sequentially to $53.3 million or 47% of total sales. With sales to the semiconductor market were flat sequentially at $29.5 million, results across other thin film markets were mixed this quarter. We saw a healthy increase in flat-panel sales to $3.2 million compared to $1.9 million in the third quarter, and an increase in thin film renewable sales to $2.7 million compared to just $700,000 last quarter. This was offset by declines in data storage and industrial to $6.2 million from $10.9 million last quarter, and service to $11.7 million and $13.6 million in the third quarter. Sales in our Solar Energy business unit decreased 2% sequentially to $59.7 million, after a record third quarter performance. On a year-over-year basis, Solar Energy sales increased 3% even without the U.S. tax incentives to drive increased year-end deployments. Turning to Slide 17. During the quarter, we took a $2 million restructuring charge as we consolidated operations in Taiwan and centralized other activities. While we do not expect to recognize meaningful restructuring charges going forward, our focus on cost reductions will continue as we outsource more components in Shenzhen and look for further efficiencies company-wide. As stated at our Analyst Day in November, we now expect to achieve total annual cost savings of $55 million by the end of 2014. Our various cost-saving initiatives, coupled with our accretive cost controls, led to operating expenses of $29.5 million this quarter without restructuring and amortization, a 19% decrease and $36.7 million in the same quarter last year, and a 6% decline from $31.4 million in the third quarter. Total operating margin excluding restructuring charges and amortization of intangibles was 8%, down from 12% in the third quarter, but significantly improved from 2% in the fourth quarter of 2011. As a reminder, we allocate all of our expenses to each of the 2 business units which caused our operating margins to be 3% or 4% lower than our competitors would report. Operating margin in our Thin Films business was 9% versus 11% in the third quarter, and operating margin in our Solar Energy business was 6% compared with our record high of 12% last quarter. As Gordon explained, we experienced a margin pressure in our Solar Energy business this quarter from one project that incorporated some lower-margin items outside of our inverters. Turning to Slide 18. On a GAAP basis, income from continuing operations was $4.9 million or $0.13 per diluted share. This compares to income from continuing operations of $5.7 million or $0.15 per diluted share in the third quarter and a loss from continuing operations of $2.6 million or $0.06 per diluted share in the same period last year. On a non-GAAP basis, excluding the $2 million restructuring charge, income from continuing operations was $6.2 million or $0.16 per share during the fourth quarter. Taxes were $806,000 or 14% in the quarter, favorably impacted by discrete year-end tax items. This brought our full-year tax rate to 32%. Turning to our balance sheet on Slide 19, we ended the quarter with $172.2 million in cash and cash equivalents, just a $1.5 million decline from last quarter, even after acquiring Solvix. During the quarter, we generated approximately $19 million in cash from operations. Trade working capital decreased $14.3 million during the quarter, stock option expense was $2.6 million, and depreciation and amortization was $4.7 million. Finally, turning to guidance for the first quarter on Slide 20. We expect revenues to be between $105 million and $115 million, and earnings per share to be between $0.14 and $0.18 per share based on a first quarter tax rate of approximately 11%, driven by the retroactive treatment of the R&D tax credit for 2012. This guidance assumes a roughly flat near-term outlook for semiconductors and continued improvement in flat-panel display investment and our industrial markets. In Solar Energy, we expect a slight sequential decline due to winter seasonality, though less dramatic than in previous years. Looking ahead, we're seeing positive indications that our Thin Film business will recover more strongly in the second half of the year and we continue to expect to grow our Solar Energy business approximately 20% annually. This concludes our prepared remarks for today. Operator, I'd like to open the call for questions.
Operator: [Operator Instructions] And our first question will come from the line of Krish Sankar with Bank of America Merrill Lynch.
Krish Sankar - BofA Merrill Lynch, Research Division: I have a couple of them. When you look at your semiconductor business, are you seeing your OEM customers coming and placing orders with you guys? Or you're still waiting for that to happen for your semiconductor business to pick up?
Yuval Wasserman: We started booking orders in Q4 and we continue to book orders through Q1.
Krish Sankar - BofA Merrill Lynch, Research Division: Got it, got it. So you're seeing income. Well, all right. And then the second thing is on the inverter side of the business. Garry, do you still believe that you can grow your inventory revenues 20% in calendar '13 from calendar '12 levels?
Garry W. Rogerson: I'll let Gordon answer that, first of all.
Gordon B. Tredger: Yes, we are confident that we can grow the inverter business 20% -- between 20% and 22% over our strategic plan horizon.
Garry W. Rogerson: I think when you look at this style of business, the revenue growth, we think we can over this 3-year period is about 20% per year. But more important to us, actually, is to become more profitable. As I've said to you many times before, I'm not so interested in market share. I do want this obviously to grow, but I do want this to grow profitably. There've been examples in our industry where people have not done that and it's been rather painful for them, and I don't want to get into that situation. So there's lots of activity out there, lots of projects for us to go for. But we're going to be careful with the projects that we actually choose to go for, which means that we'll possibly even lose market share. Even though, as you can see, we are growing year-over-year. We are becoming more profitable year-over-year. We are generating cash every year, which puts us a little bit different to most companies in the industry.
Krish Sankar - BofA Merrill Lynch, Research Division: Got it, got it. And then the final question from my end is, Danny, you kind of said that Q1, the inverter revenues would be not as bad as normal seasonality. What is driving that? Is it share gains or is it more diverse regional mix for you guys? Or is it just a normal seasonality not as bad this time around?
Danny C. Herron: Well, one of the big factors is that we didn't see the step up that we saw in the prior year in Q4 with our revenues based on the expiration of some of the tax incentives. And we have some strong demand heading into Q1. So we're not expecting to see the same degree of seasonality in Q1 that we've seen in prior quarters.
Garry W. Rogerson: Remember also that we're releasing new products in a nice rate at the present time. We released a couple last year that we're starting to take orders for. So we are putting the effort in ourselves in the sweet spots in the industry to accelerate our own growth. And at the same time, we're starting to go into other geographies. India, is one we've mentioned to you. Taiwan is a little one that we've mentioned to you, but the nice thing about Taiwan is that it actually helps us to get into countries like Japan. So we are -- and by that, I mean, our group in Taiwan has expertise in distribution in Japan. So there's a lot going on here.
Operator: And our next question will come from the line of James Covello with Goldman Sachs.
James Covello - Goldman Sachs Group Inc., Research Division: I guess relative, you mentioned several different times in the call the expected uptick particularly in the semi equipment business in the second half of 2013. Is there a particular area of the market that's driving that or is that relatively broad-based? In other words, is that coming from a particular customer or a particular segment? I know some of the companies in the industry have highlighted NAND flash as the driver of the expected pick up in the second half.
Yuval Wasserman: It's fairly broad. And we got more indication talking to our customers and their customers about expectation to see another uptick in Q3 and Q4.
James Covello - Goldman Sachs Group Inc., Research Division: And I know some people, certainly myself, are somewhat confused by the CapEx forecast that have been provided by some of the semiconductor companies compared to their current level of order activity. Does that reconcile some of the difference that how we're going to get to the bigger budgets announced by some of these companies that we're going to see a bigger pick up in the back half of the year, is that kind of the idea?
Yuval Wasserman: Yes. Also we just came back from SEMICON Korea. And talking to a lot of stakeholders in Korea, everybody's waiting to hear what Samsung is going to say about their business plan. And apparently, their waiting for the inauguration of the new president of the country before they announce it. But talking to both OEMs and end-users as well, the sentiment is very positive for the second half.
Garry W. Rogerson: I think, James, just to butt in a little bit here, the sentiment is good, but the other side of this is we continue to get design wins. And ever since I've been here, Yuval has been talking about these design wins, which means we're actually gaining market share within this segment. So I expect, as we ramp up, that the ramp will be better for us than maybe you might be thinking because of the wins we're having. And we've had some substantial wins in the semiconductor industry. As you know, they take 1 year or 2 years to start ramping up, but we have the wins behind us, they're in our pocket and we're ready to go.
James Covello - Goldman Sachs Group Inc., Research Division: That's helpful. If I could just ask one more, as you continue to diversify the business portfolio at the expansion and the industrial market with Solvix, how should we think about the overall cyclicality of your business? Obviously, there's the semi piece, and flat panel, and solar and now industrial, being more significant. How do you think about the overall cyclicality of your business? What is it tied to?
Yuval Wasserman: I expect that we'll become less cyclical, Jim, because of the addition of not only product lines, but also market segments or market -- sales market we are pursuing right now. And some of them are driven by consumer products, some of them are driven by automotive. So we anticipate that the growth outside of the semi area and even outside of the thin films area into position power conversion will continue to help us make become less cyclical.
Garry W. Rogerson: In fact, a good example of that, within semiconductor is abatement, where we have been getting strong orders for abatement and ramping up the shipments for abatement for the last couple of quarters, and they are not affected by the cyclicality of the semiconductor marketplace. And we're hoping that the troughs are going to get -- we're not hoping, we are planning for the troughs to not be as deep in the future as we move into these other market places even if organically, all through acquisition.
Operator: And our next question will come from the line of Joe Maxa with Dougherty & Company.
Joseph A. Maxa - Dougherty & Company LLC, Research Division: A question on the balance assistant components that hurt your margin this quarter and extended to Q1. Does that go way? Or is this something we're going to see periodically, given part of the large utility projects?
Gordon B. Tredger: We don't expect it's going to be the norm. This is the first time we've done -- taken this particular approach at the customer's request. There may be other opportunities in the future where we're asked to do the same thing. But I think these are not going to be our normal way of operating.
Garry W. Rogerson: I mean, this was a good order with good contribution. But the problem is the percentages were low because we had to take when the balance -- the complete system order, as they wanted one, to place one order for the product line. We would take this type of orders in a flash as they come along. I think it's really important though to remember that the orders that we're getting are bigger and bigger. So the lumps are going to get more. So I mean, I hope we get so many lumps it becomes smooth. But it is a lumpy business. And as these lumps go through our margins will go up and down. But the reality is, that as our volume goes up, we should be north of 10% returns in 2014. That is our goal. I think it's a very credible goal if we continue to grow our revenue. And as you know, we are continually reducing our costs, so we are -- we're trying to win that battle, as well.
Joseph A. Maxa - Dougherty & Company LLC, Research Division: And just a follow-up on the pricing environment in the Solar space, what are you seeing today?
Danny C. Herron: Well, you know, we're in the solar market. We're fortunate that we're here at the moment, focused in the North American segment. And so pricing declines in North America have been slower than in some of the other geographies around the globe. Our plan, obviously, is to continue to grow and we will see pricing pressures for as long as we're involved in this business. What we're pleased about is the fact that we've been able to continue to drive the manufacturing costs down. We've talked a lot about our efforts to move a great deal of our assembly manufacturing to Shenzhen and the fact that we're even starting to outsource some of the things from Shenzhen to outsource suppliers in the region. So we're confident that we're going to be able to continue to maintain a cost reduction plan to offset the effects of the pricing declines.
Garry W. Rogerson: Yes. I think, actually, we're unique in the way we manufacture. And I think it's worth dwelling on for a minute, and we have this facility in Shenzhen which we imagine or is becoming the center for all our assembly. But we're outsourcing from Shenzhen, so the facility will never get bigger. As we outsource, we generate more cash. We generate that cost, we have less inventory. You're seeing that already in our business. So we imagine as we go forward, this to be a really good cash generating machine. We've seen some of that in the first year, but the reality is we can make this into a nice cash-generating machine in the future. The acquisition in Switzerland, we're now starting to manufacture that in Shenzhen, outsourcing from Shenzhen, distributing through our sales force. The model is good and I think in our industry, it is unique and I think it will give us a very strong competitive advantage in the future.
Danny C. Herron: Joe, I just want to add something. If you look at the fact that we do allocate all our costs down to the business units, if we were to go back to the way we were doing it before that, that would add 3 or 4 points. So our Solar business, even at these levels of revenue would be in the 10% or so operating income range, if we were to compare it as others do theirs, we choose not to do that because we want to focus on cost. But we clearly have an operating model here in Solar and in our Thin Film unit that's very profitable.
Garry W. Rogerson: I mean, it's a really good point. It shows the cost consciousness of the company. Our corporate costs are allocated out to the businesses as I believe they should be in all public companies. You can only get a cost focus on the corporate by getting it into the business units. Any other way is, in my way, a feeling a little bit like a university or a government up top.
Operator: And our next question comes from the line of Edwin Mok with Needham & Company.
Edwin Mok - Needham & Company, LLC, Research Division: First, a housekeeping question. Did the -- you guys acquired Solvix, a company in the fourth quarter. How much revenue did that contribute in the fourth quarter? And how much are you looking for that operation to contribute revenue in the first quarter?
Garry W. Rogerson: Minimal, minimal. As we said when we got it, they had minimal revenues, and what we see is great opportunities to grow in the future, and that's true. It probably wasn't diluted in the first quarter, probably wasn't dilutive. As I said before, it's tough, especially when they're small. The travel, just looking after it, but not to be. But it probably wasn't dilutive. But the beauty of this product line, this application, is that we can probably take this from nothing to $20 million, $30 million over the next 2 or 3 years and manufacture in Shenzhen. So we expect this in 2014 to be a significant product line in our portfolio.
Edwin Mok - Needham & Company, LLC, Research Division: Okay, great. That was helpful. And then on your guidance, you guys talked about Solar being down a little bit on the guidance. And does that probably imply that your Thin Film revenue could be up sequentially in the first quarter? I was wondering, is that all driven by semi or which other area do you think is driving? Or can you cover for different areas and give us some puts and takes on that?
Garry W. Rogerson: Firstly, in Solar, we believe at this moment, it'll be significantly higher than last year. So it's obviously seasonally. It's a little bit tough in the U.S., and you see that every year. But we believe we will get a nice bounce from last year's revenues in Solar, that's number one. In film, I'm going to let Yuval answer that.
Yuval Wasserman: Edwin, for the Thin Film area, what will drive Q1 is the semi and flat-panel displays.
Edwin Mok - Needham & Company, LLC, Research Division: I mean, can I ask you, Yuval, what happened to industrial revenue in the fourth quarter? It seems like it was down quite a bit. Actually, down from the normal run rate.
Yuval Wasserman: Very good question. Yes, so what happened in the industrial segment of our revenue in the last 2 quarters before Q4, we had a significant investment in automotive equipment and in EMI coating, so we had really strong quarters. And after these quarters, we took this revenue. And in Q4, we had to decline a little bit in comparison to Q3. We do not anticipate to remain at this level. As you know, it's kind of a lumpy business, and investments in different markets, in different applications happens at different quarters. We expect that we'll return to normal run rate. And also, with the contribution of Solvix this year, it will help us to even grow faster.
Garry W. Rogerson: It was amazing in Solvix, immediately, we got it. We've started getting leads for the product line. Again, it's as though we had market share in these areas before and we were just picking it back up. It was really nice to see the leads coming out of Germany, coming out of China, coming out of the U.S., which takes time to convert. But interestingly, in the industrial segment, the conversion is much less than the semi. So it's very important to realize, probably, the winds are smaller and there's not winds that keep on giving, but they come much faster when you do win. So we would expect the Solvix technology to be really in our shipments in the second half of this year. And into 2014, we'd expect significant shipments from them and significant contribution.
Edwin Mok - Needham & Company, LLC, Research Division: Great, got it. That's great color. On the encoder business can I ask you -- or your Solar Energy business, can I ask you -- you mentioned that there is a balance of system orders that kind of impacted your margins on the fourth quarter and more likely in the first quarter. And assuming that's kind of a one-off scenario, right. How do we think about margins beyond the first quarter? If the revenue go back to what we saw in kind of the third quarter or third quarter range, where all this balances [ph] and do we expect your margins to get back to this in the range...
Garry W. Rogerson: Well, what we said was that our target is north of 10%. There's no reason we can't get north of 10% that we can see at the moment. It is a lumpy business though. So quarter-on-quarter, you can see ups and downs. And you will see ups and downs as we take orders, as we took this one last quarter, which is an excellent order, good contribution, but it had a large bit in it that had very little margin. And we've said, this one will actually leak into Q1 of this year as well. So you can expect lumps, but there's no problem with the strategy of the company in that we believe that we can get north of 10% in 2014.
Edwin Mok - Needham & Company, LLC, Research Division: Let me ask that differently. It sounds like that order is tied to more utility-type applications, and do you expect utility mix to be higher as you move forward beyond this coming quarter, let's say, 2013 or '14 timeline?
Garry W. Rogerson: We don't say the mix, but it will just -- it depends -- it's dependent on the order. There are some orders that are lower margin because they want us to take the whole deal, and there are others where they want to just place the inverter with us.
Edwin Mok - Needham & Company, LLC, Research Division: Okay, great. That's helpful. Lastly, just a quick housekeeping. I think you mentioned that the tax rate dropped down to 11% in the first quarter. Is that just a one-time event, actually to be lower [ph] at the mid-20s though?
Danny C. Herron: Yes, Edwin. What happens, because of the late passing of the tax legislation last year, we have to treat the R&D tax credit for 2012 as a discreet item in Q1. So you get the full benefit of a full year's worth of R&D tax credit in one quarter. So it drops the first quarter rate to 11%. We still think our annualized rate is around 30%. So with an 11% first quarter, the full year will end up in the 27% to 28% range given those numbers.
Operator: [Operator Instructions] And our next question will come from the line of Mehdi Hosseini with SIG.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: It's Mehdi Hosseini from Susquehanna. I wanted to follow up to the previous question. Garry, it seems like you have good visibility on inverter, and that's why you're talking about at least 20% revenue growth. So why not provide a margin range? You say at least 10%, but is it going to be 10% to 15% or 10% to 20%? Any additional color will be great and I have a follow-up.
Garry W. Rogerson: We've said at least 10%, and I believe we've said between 10% and 15%. So we have given you a range and it will depend on the mix and the volume, which we've said as well, as we move forward. And we need to grow a little bit more. We got our costs under control. Gordon's done a hell of a job in getting those costs under control. He's done a hell of a job of actually getting the manufacturing margin on the line for improvement -- I'm sorry, the cost of manufacturing to improve. So we've got that in good shape. We've got the release of new products in good shape. We have given you a guidance -- it's not a guidance range, it's our -- as we aspire to 10% to 15% in 2014. If we do the math, it's not that difficult if we get another 20% volume roughly this year, it's not that difficult to get to. So we're in quite good shape, actually. Things are improving, going well.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: And then one follow-up for Yuval. You're talking about a pick up in the -- for the panel display in the second half. Can you please remind me, is that going to be more of a traditional capacity-driven pick up or is it going to be a select niche application?
Yuval Wasserman: I think it's a combination, Mehdi. What we see right now. As you know, there was an addition for capacity for GEN 5.5 in Korea that generated orders, both in Q4 last year and Q1 this year. What we see coming is an additional wave of investment that will take place in the second half of this year, and that will be additional capacity. But also, we see some investment in technology as some of the factories are gearing up for the manufacturing of OLED and AMOLED devices. The yields of the AMOLED devices and the cost were improved, as all the players invested tremendous amount of effort to address some yield issues that they had. And now what we see is a wave of investment. We serve the market in 3 areas: etch; deposition PVD; and encapsulation. The PVD, what we saw is a really strong investment in touch panel technology, both in Japan and in Korea, that basically we're serving right now.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: Got it, thanks for the detail. And then one follow-up for Danny. How should we think about OpEx into Q1 and how does OpEx scale as the volume kicks in for the remainder of the year?
Danny C. Herron: Well, Mehdi, as we've talked, our OpEx is going to be flat. I mean, we've got a constant focus on cost reduction. So our OpEx is going to stay flat to down, that's how you should model.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: For the rest of the year?
Danny C. Herron: Yes. We will -- our plan is, as those revenue grows and we get margin, that margin, for the most part, is going to drop straight to the bottom line. That's why we're -- it's one of our ways of getting into our $2 goal in 2014.
Garry W. Rogerson: That's really important to us. That part of our strategy is ingrained into us. Those costs will not go up as we move forward.
Operator: And our next question will come from the line of Olga Levinzon from Barclays.
Olga Levinzon - Barclays Capital, Research Division: Just to follow-up on some of the earlier questions around the linearity of your semi business. Clearly, talking about flattish outlook for 1Q, do you expect a bigger inflection in 2Q and then continued growth into the second half? Or in terms of linearity, should we assume a relatively flattish second quarter and then a more meaningful pick up in the second half of the year?
Yuval Wasserman: Olga, I think you should assume from our perspective, Q1 would be -- Q2 will be flat to Q1. And in our case, Q1 was flat to Q4 and that was driven by share gain and significant revenue that came from gas abatement that went to semi.
Olga Levinzon - Barclays Capital, Research Division: Got it. And then as we think about -- you talked about operating margins in the inverter business getting to 10-plus percent as we move into 2014, I guess assuming a similar type of Thin Film revenue run rate, what are the kind of implied operating margins we could see by the time we get into this time next year?
Garry W. Rogerson: Are you talking about the company or...
Olga Levinzon - Barclays Capital, Research Division: Specifically for Thin Film if your revenue run rate is in this kind of mid-50s range. Based on the anticipated -- incremental anticipated cost cuts that you discussed, what kind of operating margins could we expect for this business?
Garry W. Rogerson: So in Thin Film, if we were in the mid-50s, you're seeing where we are, roughly. A breakeven for the company depending on mix, obviously, is about $90 million. So both of them were running about $45 million depending on mix. It can go up or down a bit. So that's what you're going to see if we stay at the $50 million level. If we go up to the $60 million, you'll see large contribution. And really, you can calculate it for yourself, because our operating costs are not going up, we're battling to keep our margins good. So you should be able to model roughly what would happen if our revenues are at $60 million, $70 million, $80 million for Thin Film. And you should also be able to do the same with the Solar, because you're seeing -- you're now seeing what we're doing at the $50 million to $60 million level, and it's fluctuating a bit. But that's going to be the average if you go back with over the last 2 or 3 quarters as the average. I mean -- and the costs are not going to go up much from that. I will just say that we are adding sales people to our Solar business, because that is actually happening at the present time. Now costs are coming out of other areas, but within our Solar business in North America, we're adding because there's so much opportunity for us with our new products. So we need to keep up with that as we move forward.
Operator: Ladies and gentlemen, this concludes the question-and-answer portion of our call. I will now turn the call back over to Garry Rogerson for closing remarks.
Garry W. Rogerson: Thanks so much for being here today. And we look forward to seeing you in a quarter's time. Bye-bye.